Yuen May Lum: Hi. Good morning. Welcome to Mapletree Logistics Trust results presentation for the second quarter ended September 2025. We have the whole management team here with us, Jean, CEO; Charmaine, CFO; and James, Head of Asset Management. So to kick off the presentation, Charmaine, would you like to start?
Sheh Min Lum: Good morning, everyone. I'll first take you through the 2Q key highlights. So gross revenue is 3.2% lower year-on-year at SGD 177 million. This is mainly due to depreciation of currencies against Sing dollar FX. Then, we have the absence of contribution from divested assets, but this is offset by revenue contribution from our AEI at 5A Joo Koon, now known as Mapletree Joo Koon Logistics Hub. So that has achieved a committed occupancy rate of about 82% as of now. And lastly, we saw stable same-store performance, while there were lower contribution from China, this is offset by better performance from the other markets. So this resulted in NPI being 3.3% lower year-on-year. DPU is 10.5% lower year-on-year at SGD 0.01815. Excluding the DPU of SGD 6.1 million, our DPU from operations is 4.8% lower year-on-year, but a positive 0.2% quarter-on-quarter. In terms of portfolio occupancy, that's 96.1%, an improvement from 95.7% last year. Portfolio rental reversion, positive 0.6% as we saw the negative rental reversion for China narrowing in 2Q. WALE stable at 2.7 years. Aggregate leverage, 41.1%, slightly lower than 41.2% last quarter, and our average debt maturity is 3.6 years. We continue to hedge our interest rates and about 84% of it is hedged into fixed rate, while 75% of our income has been hedged to the Sing dollar. Moving on to the results. Gross revenue is 3.2% lower year-on-year for the reasons highlighted earlier. So consequently, our NPI is 3.3% lower. On a constant currency basis, gross revenue and NPI would have declined by 0.9% and 1%, respectively. Borrowing costs decreased mainly because of lower base rate on our unhedged Sing dollar and Hong Kong dollar borrowings, where we benefited from declining SORA as well as low HIBOR during the quarter. We also had some interest savings from the powering down of loans with divestment proceeds, but this is partly offset by interest incurred on loan drawn down for the AEI as well as replacement hedges at higher cost and higher base rates for our KPI loans. So DEI is 9.6%, lower with a DPU of 10.5% lower, SGD 0.01815 versus SGD 0.02027 in 2Q last year, excluding the DPU of SGD 6.1 million, operating DPU is 4.8% lower, SGD 0.01815 versus SGD 0.01907 last year after taking into account a higher unit base. One half results, reasons for the variances are largely similar to that versus -- for the 2Q versus 3Q last year. Including DP -- our DPU would have been 11.4% lower, SGD 0.03627 versus SGD 0.04095, excluding DG of about SGD 11.8 million, DEI is lower by 5.1% and resulting DPU from operations, 6.1% lower at SGD 0.03627 versus SGD 0.03861. Sequentially, 2Q versus 1Q, I think we see -- we saw a better performance. Gross revenue marginally higher, mainly coming from the contribution from our 5A Joo Koon AEI. Property expenses higher, mainly because I think we will take some time to cover the property expenses incurred at 5A Joo Koon as we continue to ramp up the occupancy rate and start collecting more revenue for the AEI project. So accordingly, NPI is just marginally lower. Borrowing costs lower because of the lower Hong Kong dollar and SGD SORA rates. Resultingly, our DI, SGD 98.2 million versus SGD 97.6 million and available DPU, 0.2% higher, 0.0815 versus SGD 0.0812 after accounting for a high unit base. Moving on to the balance sheet. Our NAV stable SGD 1.26, leverage at 41.1% versus 41.2%. Interest costs came down marginally to 2.6%. We target to keep this at similar levels, about 2.7% to 2.8% for the next 2 quarters. We have a bit -- I mean, depending on where the SORA market goes, we may benefit a bit more, but we're still looking at about 2.7%. Our debt maturity profile remains well staggered, average debt duration of about 3.6 years. We have about SGD 819 million of available committed credit facilities to meet our refinancing needs in the next 12 months. And as mentioned earlier, we have hedged about 84% of our total debt into fixed rates, leaving the rest of the 16% in SGD and JPY floating rates, which will benefit from all the floating rate movements. And then in terms of FX, we have hedged about 75% of our FX for the next 12 months into Sing dollar or derived in Sing dollar. I'll pass over to James to bring you through the portfolio details.
James Sung: Hi, everyone. So in terms of our portfolio update for 2Q, revenue [indiscernible] contribution for developed markets, which continue to be at 70%, which gives us the stability in revenue. In terms of trade sectors, 85% of our revenue are actually serving domestic consumption, which remains resilient. Only 15% of our revenues are for exports. But as we have shared earlier, to U.S., our exposure is less than 5%. So there's a limited risk to our portfolio, but we can't discount any indirect consequences or impact to the sentiments of the market. Next, occupancy. Overall, occupancy remains very resilient. It has improved from Q1. So now it's at 96.1%, compared to 95.7% in 1Q. So in most of the markets, we continue to have 100% occupancy like Australia, Vietnam, India and Hong Kong. We see 4 countries registering positive occupancy rates. Singapore is one of them. As shared by our CFO, this is due to the improved leasing up momentum at our 5A Joon Koon, now it's called Joon Koon Logistics Hub. So the 2Q occupancy is 60%. Our committed leases is at 82%. So we should see this improving as we move along in the next 2 quarters. China also saw improvement in occupancy rates, driven mainly by improvement in occupancies in the Tier 2 cities. Japan was down primarily due to a lease expiry in Kuwana. So we are in the process of backfilling the space in the next 1, 2 quarters. Korea saw an improvement in occupancy based on the new lease in Wonsam 1. Malaysia has also saw a slight improvement in occupancy because of a new lease in Tanjung Pelepas. So in terms of rent reversion, our overall rent reversion was 0.6%, excluding China, was 2.5%. In Singapore, it was 3.9%; Japan was 0, flat; Hong Kong, 0.7%; South Korea, 1.1%; Malaysia, 3.4%; China, minus 3.0%; Vietnam, 4.3%. And there were no lease expiries due in this quarter for 2 other countries, Vietnam and Australia -- Australia and India. So in terms of the lease expiry profile, we saw that in 2Q, our lease expiries for the balance of this year is down to 16.6% compared to last quarter, which we reported 25.3%. 20% of our total revenue is contributed by our top 10 tenants. So there's no single tenant that contributes more than 4% of our portfolio. So there's no concentration risk. Next. In terms of active portfolio rejuvenation, as you know, we have announced 3 completed divestments in 2Q, namely 31 Penjuru Lane in Singapore, Subang 2 in Malaysia; and Yeoju in South Korea. And we will be -- and we have completed one in 3Q, mid of October for the one in Gudang.
Sheh Min Lum: Okay. I'll go through a couple of slides to update you on our green initiatives. So in support of the group's long-term target of net zero emissions by 2050, MLT has committed to achieve carbon neutrality for Scope 1 and 2 emissions by 2030. So on this front, we are pleased to update that our target set for FY '25, '26 for solar generating capacity as well as green buildings, year-to-date, we have reached exceeded set targets. So for solar, we have already expanded our capacity to currently 56.4 megawatt peak against the target of 55. So we are on track to hit 100 megawatt peak in 2030. And if we take in to include third-party funded capacity, actually, we are at 108-megawatt peak, which I believe should be the largest, if not one of the largest amongst Singapore REITs. Then for green buildings, we have already reached a 69% percentage for our portfolio by GFA, and we hope or aim to reach 80% by the year 2030. For green financing, we have secured another SGD 300 million of new green and sustainable financing this year, and that brings it to a total of SGD 1.5 billion or about 27% of our total borrowings, up from 24% as of March this year. For green lease, we also continue to make good progress, tracking at about 59% currently for all our leases. And we're also happy to note that our Benoi Logistics Hub, which was the first AEI in Singapore was recently recognized as the one of the -- rather the only industrial logistics building by -- under the BCA Green Mark 20th Anniversary Building Project. So now I'll pass over to Jean to wrap up.
Jean Kam: Good morning, everyone. In terms of the outlook, right, I think as all of you are aware, the world economy has proven more resilient than expected with a lot of the front-loading of exports and AEI investments. And in terms of the trade tensions between the U.S. and China, it appears to be cooling down based on the latest development. However, I think this on and off tensions continue to create a lot of uncertainties and continue to clock the global economic outlook as well as keeping our business and consumer sentiments cautious. Operations-wise, you have heard from James, we have a slight uptick in our occupancy rate this quarter compared to last quarter, mainly coming up from Singapore with the progressive leasing out in 5A Joo Koon as well as China. And our negative reversions in China has been narrowing, and it's now at negative 3%. On the leasing outlook, from the occupancy and rent reversions, our China operations appears to be stabilizing. By region, in terms of the West and Central China, it seems to have bottomed. We are starting to see some higher signing rentals from some of the cities in the West, for example, in Guiyang and Kunming. On the Northern China rents, like I said earlier or before, we have already signed at very low rents. If the situation doesn't further deteriorate, we hope that wherever we have locked in continues to be stable. And on the South, there will be a lot of upcoming supply. But for MLT, we only have 2 assets. I think -- so that's not a very big concern to us. The region that we are watching very closely that is of concern is actually the East China Greater Shanghai region as the vacancy remains elevated and pretty high at around 26%. So I think in a nutshell, if you ask me when is the inflection point, really, it is very hard for us to put a forecast. And with the current weak domestic consumption, we think the asset supply will probably take at least another 1 to 2 years or more for it to be absorbed. Going to Hong Kong, the leasing market remains cautious with the ongoing slight uncertainty. However, to date, we have renewed or replaced about 90% of this FY lease expiry. And already, the team is already starting to engage our bigger tenants for the coming FY lease expiries. Based on the earlier conversation, we think they will likely continue to renew with us. But I think in terms of the rental reversions, it will likely to be flattish, taking into consideration the current vacancy levels. As for Korea, there is an elevated market vacancy of 16%. Although in terms of the supply pressure, it seems to be easing based on the current statistics. And the flight to quality continues with some of our older specifications facing some leasing challenges and higher incentives. Back to Singapore. As mentioned by CFO and James, we have already achieved a commitment rate of 82%, and we are looking to still target to achieve full occupancy for this AEI by this financial year-end. So Singapore remains a resilient market. But with more supply coming on stream these 2 years, we think the rent reversions will moderate to a low single-digit kind of growth trajectory. I have covered about 70% of AUM and the rest of the 30% from 5 countries like Australia, Japan, Malaysia, Vietnam, India remains resilient. On capital recycling, I mentioned before that we have identified a SGD 1 billion pipeline as potential assets for divestment as part of our portfolio rejuvenation strategy and half of it will come from Greater China. So last year, we executed about SGD 210 million. To date, we have executed about SGD 60 million post quarter closing. And for the divestment target this financial year, we are targeting about SGD 100 million to SGD 150 million this financial year. On the divestment options for China, we are in discussion, and we have received a few interest from some insurance companies and SOEs on a few of our assets in China. So we are still in continued dialogue. And as for the renminbi fund, it is something that we are exploring as a possible exit option. So on acquisitions, amidst the tapering of interest rates, there are more opportunities out there and use spread seems to have improved for some of the countries, but we remain highly selective and disciplined in our acquisition process. We will be keen to increase our presence in our emerging markets like India, Vietnam as it still offers a faster growth trend and our AUM is still very small in these 2 markets. And as well for Singapore, we are also still exploring AEI opportunities for the -- in our East location in Singapore. With this, I think I wrap up my presentation, and I'll leave it for Q&A. Thank you.
Yuen May Lum: We'll now open for Q&A. Okay. Mervin you're first in line.
Mervin Song: Thanks Lum Yuen. Jean, congrats on the fabulous performance in China considering the difficult market conditions there. I'm very glad to see some signs of stabilization. First on the China reversion, I think guidance previously was flattish for next financial year. Are you maintaining that guidance? Or is there some is any variation? And your occupancy, been able to hold it low 90s actually increased this quarter. Any guidance on occupancy going forward? Second question I have is in terms of cost of debt guidance thoughts for second half this year as well as FY '27?
Sheh Min Lum: I'll get James to answer that.
James Sung: Sure. On the first question on China rent reversion, yes, your observation on the listing of the negative rent reversion is coming up. So we see that the mix 2 quarters, we are still watching closely. It should improve and we should flatten hopefully in the next -- within the next 2 quarters. So that's the outlook for China. And the occupancy you're referring to China occupancy?
Mervin Song: Yes, yes. I mean the market vacancy is still very high. So you've done an amazing job holding at low 90s.
James Sung: Yes. So we still positive but our occupancy rates in China. As you can see, 2Q, we improved 1 percentage point. So we reckon that in the next few quarters, we should be hovering around this level, 94% or even better.
Mervin Song: Sorry, just a follow-up on the reversions. You expect it to improve in the next 2 quarters at least. But is there a chance that the 0% level rather than next FY '27 could be like fourth quarter?
Jean Kam: We are looking at perhaps in Q4, hopefully, we can have a neutral position by end of FY. We are still working very hard towards that.
Mervin Song: Okay. That's fantastic news. And the interest cost guidance?
Sheh Min Lum: Hi Mervin. So on the cost of debt, it's currently in. I mean it was 2.7% last quarter. This quarter, it declined slightly to 2.6%, mainly because we benefited from the lower SORA rates as well as the low HIBOR rates at the beginning of the quarter, which has now increased, right? So moving forward, I think for the second half, we are looking at about 2.7%, but also a lot depends on where the unhedged rates will be, but if it's current level is about 2.7%, and we will target to keep it stable for the next financial year.
Yuen May Lum: Derek from DBS. You're next.
Derek Tan: Hey, good morning can you hear me?
Yuen May Lum: Yes. Yes.
Derek Tan: Congrats on a stable results. Just 2 questions from me. The first one is on Joo Koon, right? I know you're getting fairly good committed occupancies and just wondering whether for the remaining leases, right, from [ 60 to 80 ], are you getting higher rents and at this moment in time, what is the income collected reflective in terms of occupancy level. So we would expect that income for these assets should start to continue to improve in the subsequent quarter, right? So that's the first question. And maybe my second question -- maybe my second question is on income hedges. I just want to get a sense about your hedging expiry for next year, which other currencies that we should be taking a lot of and whether there's going to be any potential mark-to-market. I'm watching especially your Japan and Hong Kong hedge yourself. So it's something that could be expanded network. So I just wanted to get this out of the way?
James Sung: So 5A Joo Koon, the rentals because we have now hit about 80%, 82% committed, right? So the leases for the balance will definitely be higher than the present because this is quite typical when you first start, there will be selling more incentives to start with to get the levers in, then as we improve the occupancy rates, the rents will go up. So that's typically how we are marketing this project.
Derek Tan: So last quarter, how much have you collected out the 60%?
Jean Kam: It's about SGD 1 million -- It's about SGD 1 million before the fitting out and rent freeze.
Sheh Min Lum: So Derek, I think in terms of the contribution from the new AEI, right, in 2Q itself, we collected revenue about SGD 1 million, but I think this is largely because a lot of the rent freeze and [indiscernible] were given in the front. And you are right, we will see this contribution increasing for the next 2 quarters and then [indiscernible] financial year.
Derek Tan: That's good news.
Sheh Min Lum: So I think in terms of the hedges, right? Okay. So for the next 12 months, for JPY, about -- we have locked in about 83% of our DEI from Japan at a rate of about less about 90, so that's a very good rate. We will enjoy it [indiscernible]. And for Hong Kong dollars, 72% has been locked in. The rates are at about [ 5%, almost 6% ].
Derek Tan: You mean everything expiry [indiscernible] only partly?
Sheh Min Lum: So like for the next 12 months, yes, this all 83% -- like JPY all 83% will expire by 12 months time.
Derek Tan: So we should be locking it? Yes.
Sheh Min Lum: Yes. So a lot of it is mark-to-market. So for JPY, I think a bit more color. We have previously locked in for a longer period. So if you look at beyond the 12 months, we have locked in about 56%, so the mark-to-market rate for JPY will be lower, slower. But like for Hong Kong Dollar the rest of the currency, I think most of them will expire in the next 12 months. If you notice the swap costs, right, I mean, the hedging cost has gone up actually quite a fair bit in the last past half year. So the ways that we are able to enter into forward these days are not as attractive.
Derek Tan: Okay. Got it. That's why I needed to know.
Sheh Min Lum: Thank you.
Yuen May Lum: Roy Chen from Macquarie. Roy Chen, you can ask your question. Please go ahead.
Chengzhi Chen: Yes, congrats on China bottoming up factory guidance? Few questions from me. I think firstly, in terms of the interest cost, I think you are guiding that next year is going to be flat 2.7%, I'm just wondering how are your hedges right in terms of the interest rates versus the current rate, I think a lot of the REITs are really recording lower average cost of debt. So are there still more lower rates that in your books? That's one. And then my second question is on the China lease expiries that's coming up this year -- remaining of this year and next year. How much of those these expiries are coming up from the East China assets? And last one, in terms of your divestments. Are you seeing a pickup in interest in transactions. And now that the interest rates are actually lower. So in terms of that, we should expect a faster pace of the reset.
Sheh Min Lum: Okay. I'll go on the interest cost first. I think the first thing is at an interest cost of 2.7%, I think that's one of the lowest in the market as of now. Color on the hedges that's falling through -- falling off next financial year. So for example, our Hong Kong dollar, the rate that's falling off is 1.7%. If I were to replace it with Hong Kong dollar IRS, that would be much higher. So what we have been doing in the past 1 to 2 years is when this really low rates in Hong Kong dollar and Aussie dollar comes up for replacement, we have actually replaced it with a cheaper currency, for example, CNH or SGD. So I think to keep our interest cost at 2.7% next financial year, we will potentially replace this Hong Kong dollar debt that's expiring at 1.7% with maybe a Sing dollar or a CNH loan, which would be similar levels at this expiring 1.7%. That's how we will try to keep our interest cost stable. Does that answer your question on how we can keep it -- how it's going to be at 2.7%. If you look at the universe of rates as of now, I think the lowest that we can find would be Sing dollar and CNH and of course, JPY too. With the new Prime Minister, I think maybe that would -- the rate of increase for JPY would be slower. But comparing against whatever is expiring, it would be similar levels.
Chengzhi Chen: Got it. How about your Singapore loans debts? Will you still get some benefits from your Singapore loans?
Sheh Min Lum: So the Singapore rates that are dropping off are like 2%, maybe marginally lower, but we don't have Sing dollar due for refinancing in the next 1, 2 years. I think I also mentioned earlier that in terms of the lower rate this quarter, we have benefited from the unhedged portion of the Sing dollar loans. So if SORA decreases or lowers further, yes, we will benefit, but conversely, if SORA increases, then our 2.7% will probably increase to 2.8%, 2.9%, depending on where SORA is.
Chengzhi Chen: Thanks for the comments.
Jean Kam: Yes. Roy Chen, regarding your questions on divestments, with the lowering of the interest rate environment, the divestment activities, yes, you're right, that is starting to pick up and seeing more interest -- but is particularly, I think for our Greater China portfolio that we are looking to divest, at least we are seeing some inquiries coming in. So now right now is about the discussion on the kind of pricing that the parties are looking at. So from that perspective, on the China divestment process, compared to last year, it is slightly better. We are seeing interest. And the other part that we have been trying to sell like the older specs like in Korea, Singapore, Malaysia, that one, I would say it would be a bit less sensitive to the interest rate environment, but more about whether the end user or the buyer finds our property relevant for their business requirements. Not that interest rate is not important, but I think more of whether the current specification suits their business needs. So -- but in a nutshell, I think that's what we are looking at now in terms of the current divestment pace. I hope that answers your question, Rachel. I will let James to answer on the lease expiry in China coming up from the East region.
James Sung: Roy Chen, I'll get back to you before the end of this call, we're completing.
Yuen May Lum: Shall we move on to the next person. Okay, Brandon.
Brandon Lee: Can you hear me?
Sheh Min Lum: Yes.
Brandon Lee: I just want to go back to the asset divestments in China, right? So the funding you spoke about, is it -- are you talking about the private bid or are you looking for CREIT?
Jean Kam: No, it's a private one. Yes [indiscernible] .
Brandon Lee: Okay. And for the sort of timing wise, right, this SGD 0.5 billion that you're looking to sell in China, can you roughly guide on when we could see this being offloaded from your balance sheet?
Jean Kam: It's quite hard for me to actually give a guidance. But I think immediate for at least this 1, 2 financial year, probably SGD 100 million.
Brandon Lee: SGD 100 million in FY '26, so another SGD 400 million in FY '27?
Jean Kam: Yes. But that one also includes the Hong Kong divestment that we are looking at. So we are looking at trying to divest our shorter title assets. And that's going to take some time because all the shorter assets, we will need to find a lot of individual owners, so that one will take a bit of time.
Brandon Lee: So we see the SGD 0.5 billion?
Jean Kam: Greater China, it's Hong Kong and China.
Brandon Lee: Greater China. Okay. And in terms of the divestment premium discount. Can you give a guidance on that for both Hong Kong and China?
Jean Kam: We are looking at valuation.
Brandon Lee: Debt valuation?
Jean Kam: Yes.
Brandon Lee: Just looking at some of the leases that you signed this quarter in China, right, I saw that the -- some of these have been brought ahead to FY '27, '28. So does it mean that you are still signing pretty short leases in China?
Jean Kam: Okay. I think generally, yes, the lease in China, it is still pretty short term in nature. In terms of signing beyond 2 to 3 years, we are still seeing, but it's really very few. So overall, most of the tenants in China is still taking a cautious position, so still pretty short term. But if you ask me to -- if I diagnose further -- if you look at renewals that we signed this year versus last year, in terms of the WALE, we are seeing some slight very small improvement, compared to -- that means what I'm saying is that last FY renewal versus the first half of this FY renewal in terms of the WALE is slightly longer. Yes. So I hope that answer your question, yes.
Yuen May Lum: Xuan from Goldman.
Xuan Tan: I have a question on acquisitions, right? And how are you thinking about funding? Is it coming purely from divestment? Or are you now open to equity and all that share price has increased?
Jean Kam: For now, it will still very much be the divestment pace, depending on how much capital we can be cycled. But having said that, right, if there's a large portfolio that is very attractive. I think we do not rule out the option to capital market.
Xuan Tan: Got it. And can you share more colors about the China divestment and valuation. I guess we've seen some of this in a steep discount. Why is logistics holding up better?
Sheh Min Lum: I think in terms of why we are seeking the valuation, I think that's something -- that's why if you notice, it's been taking -- we are still trying to negotiate. We're still trying to negotiate. And then the other reason, I think if you look at -- yes, I forgot to add on that in terms of the renminbi fund that we are looking at, right, we are actually working with our sponsor on this. So that's something that we are negotiating with them.
Yuen May Lum: Next line is Derek Chang.
Jian Hua Chang: Just a quick follow-up, I guess, on the divestment of assets to the sponsor, right? That's the development fund right that they have. So will this be a potential you divest and then you do a joint development with the sponsor? Or how are you thinking about this?
Jean Kam: No. No. It's more like we have some assets in the balance sheet that we are looking to divest to decent fund and then the sponsor will be more like LP and whereas they will also look to get some capital partners in it. So we will not be having a stick in the fund. And it's not yes. It's not a development fund. It's just -- we are just exiting our assets and put into the renminbi fund, which is an income fund.
Jian Hua Chang: [indiscernible] exit. Understood. And then on acquisitions, right? I think you mentioned earlier, India and Vietnam, but these markets, I guess, the use spread isn't too attractive, especially if you're looking to deploy proceeds from divestments. Are there other markets that you are looking at where you spread more attractive?
Jean Kam: In terms of the yield, these 2 markets continue to be the highest from the yield perspective. Of course, I think in the other markets where we are starting to see interest rate coming down, for example, maybe Korea, in terms of yield spreads, it is a bit better. So maybe that's something that we will continue to look at, but it will really be very opportunistic. As for Australia, I think the rate hasn't really come down much, but it's something that we still continue to monitor.
Jian Hua Chang: What about Japan and Singapore.
Jean Kam: Singapore, we are looking at more AI, asset enhancement. I mentioned that we will -- we are actually exploring in discussion to acquire a property that is adjacent to our current assets, and we are looking at amalgamation and doing a new redevelopment. For Singapore acquisitions, it will be more perhaps buying some old properties that is very near to our existing assets, and we are looking at redevelopment developingit. Japan, yes, no doubt, the cost of debt is the lower at low 2s. But if you look at the yield, it is actually very tight at 4% or below. So from that perspective, if there is any potential acquisition, it will have to be via recycled proceeds.
Yuen May Lum: Next, we have Terence.
Terence Lee: This is Terence from UBS. For the China portfolio, do you mind sharing how under/over rented the current in-place rents stack right now versus market? And if you don't mind splitting between Tier 1 and Tier -- non-Tier 1 type of classifications?
James Sung: Yes, James here. So currently, we analyzed in terms of mark-to-market, I think that's what you are alluding to what percentage is not mark-to-market. So we scan through our leases in China, about 10% is yet mark-to-market. So meaning to say they would exist if the market remains at a certain -- at this current situation without going down further or without going up, right, we have 10% of this exposure. But this 10% is not going to expire all within 1 year. So it's spread over the next 3 years or so.
Terence Lee: Got it. And I think just going back to the point on acquisitions, right? I think the earlier statement was focusing on India/Vietnam. But I'm just thinking why not just focus on Singapore, whereby you can avoid the FX issue, Borrowing cost is also almost like one of the lowest points in the history, whereas I guess the preference or EM has [indiscernible] proven to be quite challenging.
Jean Kam: I think for Singapore, because it is a very regulated and tight supply market, right? Definitely, if there are opportunities, we will definitely also take a look and evaluate. So in fact, there were a few deals that we have seen, but I think it is a bit challenging at this point in time, taking into consideration some of the expectations as well as the tenure that is left. So that's something that we will continue to want to pursue. But realistically speaking, it will be more opportunistic from that sense. So that's why I think in terms of acquiring a small property, which is near to our existing in for us to do the rejuvenation. It is something, at least it is more attributable. But having said that, I think definitely, we will still continue to pursue -- it's just that I think in terms of modern grade A specifications that is available after the moratorium of the JTC requirement, typically, we are looking at a very short land these left. So it is something that I think we are cautious about, and we would perform for Singapore to rejuvenate within the existing portfolio that we have -- and so far, we have done 4 and 5A Joo Koon is our fifth successful AEI. Is our fifth or fourth? Oh fourth, sorry, fifth is including the [indiscernible], our fourth successful AEI project in Singapore with good track record in terms of the leasing performance as in terms of giving us good returns.
Terence Lee: And my last question is maybe just it's more big picture thinking. We've seen REITs where through the period of high interest rates, surely the DPU had suffered. But even coming out of it, I think some of them are trying to shore up their capital buffers. So we've seen some examples of REITs, I guess, reducing fees in units. So I guess the parallel being that for MLT, FY '26 looks to have taken a hit. So when we formulate our thinking about FY '27, is that also part of management's thinking that it's time to, I guess, rebuild some of these buffers.
Jean Kam: Yes, you're right. So I think I have mentioned before, I think once our operations start to stabilize, our DEI starts to improve. We are looking at slowly taking back some of the fees in units and convert into cash. It is something that remains in our mind. And we will do some conversion as and when our DPU is able to take it.
Terence Lee: I guess suffice to say earlier that I think the idea of divestments is limited gains. And correct me if I'm wrong, over there. And I guess, by extension also, if there are any gains, we probably won't see them being paid out?
Jean Kam: Yes. I think -- we have just turned off the distribution of the divestment gain just a few quarters ago. So if there is any future divestments with just very few million gains or very little gains. I think we will continue to actually keep that and strengthen our balance sheet, for flexible low financial agility for future acquisition. But having said that, if we are able to divest an asset that give us a very huge gain, I think it's something that we are open to explore to give a bit of a divestment gain in future. But based on a lot of the divestment pipeline that we are looking at, we do not foresee that there will be a very huge gain over the original costs based on our current visibility.
James Sung: Roy Chen, James, back to your earlier question, you're asking in terms of the balance of this fiscal year or financial year or what expiries from East China is coming up. So portfolio, East China consists of Sichuan province, Guangzhou province and Shanghai. So we have 19 properties and all in China. And based on this expiry, we have 36% due from this East China coming off for the balance of the year. Of course, not all East China is -- not all the 36% going to expire just a bit. Some would be placed. Some majority will be renewed.
Chengzhi Chen: Well, Yes, Yes.
James Sung: Did you hear me?
Chengzhi Chen: Yes, you're saying the financial year is 36%.
James Sung: Yes, the balance of next 2 quarters.
Chengzhi Chen: Okay. And these leases are up to market already at current rents, right?
James Sung: No, there's still a small gap. Yes.
Chengzhi Chen: How about next year?
James Sung: Next year, we are looking at about -- for East China, about 25% to 30%.
Chengzhi Chen: Okay. And also there's still some have mark to market?
James Sung: Yes, yes single-digit percentage.
Chengzhi Chen: Maybe can I just ask one last quick question. In terms of your renminbi fund. What's the fund size that you're expecting?
Jean Kam: I think it's something that is still in discussion. In terms of what I've guided right I say [ SGD 0.5 million ] is coming out from China and Hong Kong. So from our perspective, I think in terms of the sales, the exit option for China, it's not a very large amount in that sense because I mentioned [indiscernible], right, a lot is also coming up from Hong Kong as well.
Chengzhi Chen: So this renminbi fund is specifically for the China asset only?
Jean Kam: Yes.
Chengzhi Chen: That's what you're seeing, right?
Jean Kam: Yes. Yes.
Chengzhi Chen: And the Hong Kong assets are still expected to divest to third party?
Jean Kam: Yes, yes. And that will probably take some time because those that we have identified are shorter tighter units. So meaning that all the small, small units will take some time to get the right buyer. And typically, the buyers' interest would likely be from the business owners rather than a kind of demand.
Chengzhi Chen: Is there a timeline for the renminbi fund right, is it going to be this year or next year?
Jean Kam: We are looking at, hopefully, quarter 4, but maybe most likely quarter 1, next financial year.
Yuen May Lum: Next, we have Brandon.
Brandon Lee: Jean, just a few follow-up questions, right? Just going back to China, right? So assuming that your China stabilizes, right, how big of improvement in the sort of earnings contribution you would see coming back from China? Because I think this quarter, you had 14% in the good old days, you were at 20%, 21%, any specific number you can give us?
Jean Kam: Brandon, it's a very difficult question to answer. I don't have a crystal ball. Unfortunately, I can't give you the guidance. But what we are really trying to work on the ground is really, as you have seen for the first half, we are trying to really do that stabilization. And there's still a fair bit, I think some of the -- like this [indiscernible] has asked how much is coming up from East China. So we still have -- for the East China, there are still some leases coming up. So that's why I think it is very hard for me to give you a number at this juncture.
Brandon Lee: And can you give a rough reversion guidance for FY '26 in Korea and Japan?
Jean Kam: FY '26.
Sheh Min Lum: You are referring to next financial year, Brandon? Or this year?
Brandon Lee: Remaining second half, you can give '27 even better ?
Sheh Min Lum: Yes, I was going to say, it is next year, then can we check in again another time, in the quarter.
Brandon Lee: FY '26.
Sheh Min Lum: Yes, FY '26 is second half, right? Okay, for which country again?
Brandon Lee: Korea and Japan.
Jean Kam: James, do you want to take that?
James Sung: Yes. For Korea, we believe next year?
Sheh Min Lum: No, second half of this year.
James Sung: Second half of this year, second half of this year?
Brandon Lee: Maybe full year is easier -- easier, then we can plan it ourselves.
James Sung: I think second -- we just [indiscernible] the second half of this year for Korea, it's still going to be around 1%.
Jean Kam: Yes, it'll be the low single digit around what we are seeing at the current second quarter.
James Sung: In Japan should be quite similar as well -- not 0, but quite flattish.
Jean Kam: Probably [ 0.5 ] the kind of range.
Brandon Lee: Okay. Just one last one, right? So you mentioned that equity is considered if it's a portfolio. When you say portfolio, is it more external? Or is it a amalgamation of your sponsors asset in India, Vietnam, Malaysia, everything, Australia, even all combined?
Jean Kam: It's anything that's up for review and any opportunities that is good. So I don't want to rule out whether it's third party or it's [indiscernible].
Yuen May Lum: Mervin, you have a follow up question.
Mervin Song: Yes. Just a follow up for the Joo Koon Logistics Hub. When do we expect like full cash flow contribution for the initial 60% committed level than 82%?
Jean Kam: Sorry, I didn't get your question, when do we expect full contribution from the 82% is it?
Mervin Song: The initial 60% and then the 82%.
James Sung: Yes. it should be in a part of 3Q onwards.
Mervin Song: So 3Q will get the full 60%.
James Sung: Yes.
Mervin Song: Then the 82%.
James Sung: Part of 3Q because 2Q some of the reasons came in since September. Right? So you give them quickly.
Mervin Song: Then this maybe a 4Q '26, you get a lease for [indiscernible].
Jean Kam: 4Q, yes.
Mervin Song: Then the 82% will be middle of next year, next financial year? Or be late?
James Sung: 82% is likely to be part of 4Q.
Mervin Song: Part of 4Q. Much better than my projections.
James Sung: So this year, we're expecting a full contribution, basically the full year contribution we are expecting from April.
Mervin Song: [indiscernible]. On the Hong Kong TV lease, I can't remember, was it renewed like a year ago? Or is it coming up again? And what's happening in the lease?
James Sung: Hong Kong TV has expanded over the last few years. So the leases are renewed really, was renewed [indiscernible] for last year.
Mervin Song: And when does this expire?
James Sung: Typically, it's a 3-year 3 years.
Mervin Song: Final question for me. In terms of Australian net effective rents, especially for Melbourne has been quite weak. Your thoughts on Australian market at this point in time and rental reversion guidance for Australia going forward?
James Sung: Australia, you're right, Melbourne because of the supply, right, the rents are a bit soft, right, to a single-digit [indiscernible]. Similarly for Sydney, all right, it has normalized to single-digit rent growth, right? But for places like Brisbane is still -- is much stronger in terms of cost of the demand and supply dynamics. So Melbourne is because of the over -- I wouldn't say oversupply about new supply coming off on stream. That is causing the weakness in the rentals. Whereas Sydney, not so much new supply. So the rents are still quite healthy, right, but it's single digits rent growth, not so much of double digits rents growth [indiscernible] we experienced last year.
Mervin Song: So in terms of your in-place rents for Sydney, Melbourne and Brisbane, how does it compare to spot market rents at this point in time? All under rented. Is it?
James Sung: Yes. For the leases because the rents -- the lease profile for Melbourne and Sydney typically can be most of the leases are between 3 to 5 years. So we can expect still upside when it's mark-to-market when it's renewed.
Mervin Song: How under-rented would there be? Is it still 10%, 15% below market?
James Sung: I would say about 5% to 15%, depending on the lease.
Mervin Song: So we should still see income growth ahead. And Brisbane under-rented, is it?
James Sung: Brisbane is more or less in that market really, Brisbane.
Mervin Song: But that's -- those parts still going up low single?
Yuen May Lum: Next, we have Joy.
Qianqiao Wang: Just a quick question from me. First of all, on lease tenure, I mean, other than China, are you also seeing other places that are shortening lease tenure because of all these trade uncertainties, for example, Vietnam?
James Sung: Not really. There's still -- in fact, the sentiment on the ground is very positive, right? So the -- in fact, our -- when the -- what you call it, lease expires, we have actually quite a number of prospects lining up in our facilities. So that shows the market is still very robust.
Jean Kam: In fact, I think the demand inquiries is very strong, and we do not have actually much space to actually fill up the vacancy. We don't have any vacancies in that sense, yes. We have more demand than the supply that we have, yes.
Qianqiao Wang: And then just on that topic, from Chinese tenants moving outskirt to ASEAN, how much are you able to actually capture?
Jean Kam: We have captured, I think, across our 4 locations. We have them in Singapore, Malaysia, Vietnam and Hong Kong, yes.
Qianqiao Wang: But in terms of flow, I guess, reason where -- I think we are seeing a lot of flow into Vietnam. Outside of that, is there any other locations that you're seeing a sudden surge in demand?
Jean Kam: You mean out of the Asia Pac?
Qianqiao Wang: Out of -- yes, Asia Pac?
Jean Kam: Oh, yes. actually, they are looking for space in Middle East as well as in Europe.
Qianqiao Wang: No, sorry, not out of Asia Pac, I mean within Asia Pac.
Jean Kam: Yes, within Asia Pac, it's the -- mostly the 4 countries that we have. Actually, Australia we had as well.
Qianqiao Wang: And just I missed the early part of the discussion on the China fund. Can I just understand why there is no intention to do CREIT?
Jean Kam: I think between the 2, the CREIT is -- the setup time line is going to be very much longer. And then I think for CREIT, one of the key conditions is that about 75% -- it's 85% of the recycled capital has to be in China, so I need to actually -- yes, I need to reinvest. So that's why I think in terms of that exit option, the renminbi fund will be a bit more attractive for ourselves. I think there was also -- there was also a question about how much is going to be of the China assets that have been earmarked and as well as the Hong Kong assets have been earmarked for divestment, how much is for the fund, right? So not all will be going to the fund. In terms of the -- so between the split between Hong Kong and China, it's about half-half. But of the half that's coming up from China, not all will go into the renminbi fund. There are some that we are separately in discussions with some other interested parties.
Qianqiao Wang: You will also rule out the possibility of doing a private REIT on the Shanghai Stock Exchange.
Yuen May Lum: I think that one probably at this point in time, not within our planning horizon, yes. But [indiscernible] one step at a time. I think that we have come to the end. Thank you so much, everyone, for dialing in. Any more follow-up questions, please feel free to reach me. Thank you. Have a good day.